Operator: Good morning. My name is Lee, and I will be your conference operator today. At this time, I would like to welcome everyone to the CSG First Quarter 2020 Earnings Call. [Operator Instructions] 
 I would now like to turn the call over to John Rea, Treasurer and Head of Investor Relations. Please go ahead. 
John Rea: Thank you, operator, and thanks to everyone for joining us. Like last quarter, we will be working from a slide deck, which can be found on the Investor Relations section of our website. Please take a moment to locate these slides. Today's discussion will contain a number of forward-looking statements. These include, but are not limited to, statements regarding our projected financial results, our ability to meet our clients' needs through our products, services and performance and our ability to successfully integrate and manage acquired businesses in order to achieve their expected strategic operating and financial goals. 
 While these risks reflect our best current judgment, they are subject to risks and uncertainties that could cause our actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise or publicly release any revision to these forward-looking statements in light of new or future events.
  In addition to factors noted during this call, a more comprehensive discussion of our risk factors can be found in today's press release as well as our most recently filed 10-K and 10-Q, which are all available in the Investor Relations section of our website. Also, we will discuss certain financial information that is not prepared in accordance with GAAP. We believe that these non-GAAP financial measures, when reviewed in conjunction with our GAAP financial measures, provide investors with greater transparency to the information used by our management team in our financial and operational decision-making. For more information regarding our use of non-GAAP financial measures, we refer you to today's earnings release and non-GAAP reconciliation tables on our website, which will also be furnished to the SEC on Form 8-K. 
 With me today on the phone are Brian Shepherd, Chief Executive Officer; and Hai Tran, Chief Financial Officer. With that, I'd like to now turn the call over to Brian. 
Brian Shepherd: Thanks, John. Hi, everyone. We are glad to join today's call as we begin on Slide 4. Team CSG got off to a good start in the first quarter of 2024 broadly in line with our expectations for the quarter. For the first time in CSG's history, 30% of our revenue came from industry verticals outside the communication service provider space. This is a testament to our multiyear revenue diversification strategy of selling our SaaS suite of solutions into exciting industry verticals like financial services, health care, retail, technology and insurance. 
 As we continue to deliver double-digit organic revenue growth in our smaller but faster-growing solutions, we fully expect that our revenue diversification will expand well above this level in the quarters and years ahead. With respect to shareholder returns, we continue to reward shareholders in the form of dividends and buybacks. 
 In February, we announced a 7% annual increase in our dividend and returned $9 million in dividends to shareholders in March. Additionally, we repurchased $10 million worth of stock during the quarter. Over the last 12 months, we have returned over $160 million to shareholders. Looking forward, we will continue to opportunistically repurchase shares through the end of 2024, with the expectation that at a minimum, we will buy back enough shares to offset employee stock compensation with the opportunity to buy back more than this when we believe it will create greater shareholder value. 
 From a financial perspective, in Q1, we delivered $295 million in revenue, generated a 16.6% non-GAAP adjusted operating margin and reported $1.01 in non-GAAP EPS. As we have mentioned on previous earnings calls, our Q1 2023 financial results included approximately $10 million in highly profitable net license revenue, which distorts the Q1 year-over-year growth comparison. We knew this would be the case when we issued 2024 guidance. If you normalize out the impact of this onetime license revenue from last year, our Q1 2024 organic revenue would have grown year-over-year. 
 Also, free cash flow in Q1 was slightly softer than anticipated due to several timing-related items that a will discuss momentarily. We continue to place a big focus on generating good free cash flow and believe the Q1 timing-related items will not impact our ability to meet our original free cash flow guidance for 2024. Just as we saw in 2022 and 2023, the majority of our free cash flow being generated in the second half of the year, we expect a similar trend this year. With Q1 results broadly in line with our expectations, we are pleased to confirm all full year 2024 guidance targets. Our confidence in reaffirming guidance comes from the strong ongoing market demand for CSG's industry-leading SaaS products and good sales performance across all areas of our business. CSG's sales pipeline is as large and healthy as ever, and we continue to win and deliver exciting new deals all around the world, thanks to our over 6,000 talented and dedicated CSG employees. 
 We also wanted to share 2 meaningful updates on our corporate responsibility journey. We were proud to issue our second annual global impact report in March, which highlights what Team CSG is doing around the world to create a more sustainable future by reducing our environmental impact, supporting our communities and fostering a culture of inclusion and belonging. Additionally, we issued our latest carbon footprint greenhouse gas emissions report, and we are proud to have already achieved a nearly 40% reduction in our Scope 1 and 2 emissions since 2019. This shows the excellent progress CSG is making with the goal of reaching carbon neutrality in Scope 1 and 2 emissions by 2035. 
 Turning to Slide 5. We want to reiterate the 4 strategic objectives that will help CSG create greater shareholder value and allow followers of our story to track our progress. CSG aspires to deliver long-term organic revenue growth in the 2% to 6% range, striving to consistently be at or above the midpoint of this range. The midpoint of our 2024 revenue guidance implies an approximately 4% year-over-year organic growth rate even as we faced some slight headwinds at several of our North American cable broadband customers. 
 We aim to add operating scale and expand our operating leverage by growing revenue to $1.5 billion by year-end 2025 with bottom line growing as faster, faster than top line growth. This scale will come from a combination of good organic growth, combined with disciplined inorganic moves. 
 Our third strategic imperative is to be the #1 SaaS provider of choice for global communication service providers by providing the most value-adding technology platforms and by helping our customers make more money in the digital world. And finally, we plan to significantly diversify our revenue even more as CSG wins big and high-growth industry verticals like retail, government, financial services, health care, technology and more. 
 Moving to Slide 6, you can see that we are delivering against all 4 objectives. On strategic revenue growth, in 2023, we reported a record-setting $1.169 billion of revenue, resulting in 7.3% year-over-year growth, our best full year result in nearly 20 years. Taking the midpoint of our 2024 revenue guidance implies that CSG Wealth consistently delivered approximately 5% annual revenue growth between 2021 and 2024, with the vast majority of this being pure organic revenue growth. 
 On the right-hand side of Slide 6, we believe that CSG's high recurring revenue SaaS business model and our strong healthy balance sheet make us an attractive investment. By 2025, we aspire to gain scale in the markets where we compete and generate $1.5 billion in annual revenue, which implies that CSG will have added over $500 million in profitable recurring revenue from 2020 to 2025. Over the medium to long term, we aspire to expand CSG's operating leverage and use our strong balance sheet to deliver non-GAAP EPS growth that meets or exceeds revenue growth. As it relates to capital deployment, team CSG will add strategic scale with disciplined M&A that puts a premium on accelerating our organic growth, expanding our operating margins and cash generation and creating greater shareholder value by paying the right price and extracting the expected M&A synergies inherent in the investment thesis for each acquisition that we close. 
 On the M&A front, we're happy to share that we closed our first transaction in 2 years in April as we acquired a small customer engagement company that serves multiple industry verticals, including insurance. While small, this accretive deal will expand CSG's offering and customer base in the insurance sector, which is a high priority vertical for us going forward. We believe that this M&A deal will be the first of several good accretive M&A transactions that will close in 2024. 
 Turning to Slide 7. We have good success in our goal to be the #1 technology provider of choice for communication service providers globally. We have long-term contracts with both Charter and Comcast to run through Q1 2028 and year-end 2025, respectively. And as a reminder, CSG's contractual relationship with Comcast and Charter is on a per customer basis, which is an important distinction for us because this pricing model, combined with the tiered pricing inherent in our big customer contracts means that any subscriber losses at our big customers have a relatively small impact on CSG's overall revenue. 
 Given the concerns about broadband subscriber losses in the cable industry, it is worth reiterating that we serve nearly 64 million combined subscribers at Comcast and Charter and nearly 80 million subscribers across all of North America cable broadband customers. So small changes in subscriber counts do not have a meaningful impact on our business results and growth. 
 It should also be noted that our 2 largest customers recently dropped to less than 40% of our total revenue for the first time. CSG's improving revenue diversification and 5% consistent annual revenue growth since 2021 is a testament to our success in consistently winning big, exciting new sales deals. Also during the first quarter, we completed a good digital CX implementation with one of the largest North American broadband providers. Specifically, we helped this customer capture significant cost savings by redesigning their monthly bill, improving their digital customer payment capabilities and reducing billing and payment-related calls into their contact center. This good cross-sell win with an exciting broadband customer reinforces the benefit of our strategic product expansion beyond billing and monetization, which positions CSG well to help thousands of enterprise customers and many industry verticals make more money with extraordinary data-driven customer experience and integrated real-time payment solutions. 
 Outside of North America, we continue to win more business with leading telecom companies. A great highlight of the quarter was CSG closing a fantastic new sales win in Latin America with one of the largest telecommunication operators in Brazil. Specifically, CSG will enable their digital evolution to better serve the wireless MVNO market in the largest country in South America with our highly scalable cloud native Ascendon platform. 
 We also signed a good business expansion with MTN, Africa's largest mobile network operator. Specifically, CSG will provide managed services support in selected divisions within MTN South Africa, including their MVNO business. This project will enable MTN to speed time to market for new products and services. CSG also won a good new contract with Banglalink a leading telecom operator in Bangladesh. TeamCSG was selected to help this customer optimize its wireless business by providing our modular wholesale billing and settlement solutions. Drawing on previous wins in 2023 in Airtel Africa, M1 and PLDT, the Banglalink deal, also underlines CSG's increasing leadership in Asia Pacific as telecom and wireless leaders continue to embrace customer-first digital transformation. 
 Finally, we signed a nice new deal with one of the leading global MVNO enablers. Specifically, CSG is implementing our cloud-native Ascendon product to enable this customer to on and off board new MVNO partners quickly and seamlessly. We are confident that our strong sales pipeline in the global telecom market will position CSG -- well to announce more exciting new logo sales wins in 2024. 
 Turning to Slide 8. Since 2017, we have diversified revenue coming from exciting new industry verticals from 7% of total 2017 CSG revenue to 30% of our Q1 2024 revenue, a fantastic accomplishment in a relatively short period of time. As mentioned, Q1 marks the first quarter where over 30% of our revenue came from industry verticals outside of CSPs. During the quarter, we announced a fantastic deal extension and expansion with JPMorgan Chase. Specifically, we are deploying our CSG Exponent suite of data-driven CX solutions to create a better fraud alert notification experience. Our enhanced solution eliminates the need for expensive contact center calls and creates an improved digital customer experience during an often stressful time as cardholders try to identify and recover from fraud, including digitally requesting a replacement credit or debit card. 
 Another highlight of Q1 was the excellent multiyear contract extension with Formula One, the world's most prestigious motor racing series. Since 2018, our cloud-native multichannel ascendant solution has enabled Formula One to quickly launch new live and on-demand OTT subscription services for racing fans who want to connect with Formula One's content. This is another great example of how CSG Ascendant can help grow and retain a customer's digital subscriber base. In the payments market, we now provide award-winning payment solutions to 119,000 active merchants and ISV partners, which represents a 17,000 increase or 17% year-over-year growth from the 102,000 active merchants we served in Q1 2023. Our solutions are critical to customers who need ACH, credit card payment gateway and payment processing capabilities, serving a wide range of recurring revenue industry verticals. We continue to see a big growth runway for CSG's payments business, and we like our chances to accelerate our organic and inorganic revenue growth even faster through 2024 and beyond. 
 Wrapping up on Slide 9. Simply put, CSG continues to execute well on our strategic vision, even as we helped several of our biggest customers overcome some near-term headwinds. We continue to win fantastic new customer logos quarter in, quarter out. We continue to innovate with industry-leading AI-driven SaaS solutions that big brands all around the world are buying to solve some of their most pressing business challenges. We continue to progress our revenue diversification strategy, and we continue to demonstrate our determination and commitment to run our business more efficiently with consistently expanding profitability and free cash flow generation. 
 We hope you see why we absolutely believe that CSG's best days and biggest breakthroughs are still ahead of us. This is also why CSGs all around the world stay hungry and customer-obsessed every single day. because we know this relentless focus is what is required to create significant shareholder value in the quarters and years ahead regardless of any near-term challenge standing in the way of Team CSG. 
 With that, I will provide more detail on our financial highlights. 
Hai Tran: Thanks, Brian. Let's walk through our Q1 2024 financial results, and then I'll wrap it up with some key conclusions. Starting on Slide 11. We generated $295 million of revenue versus the $299 million we generated last year. The decrease in revenue was primarily related to the timing of approximately $10 million in high-margin revenue licensing deals signed in Q1 of 2023, which was highlighted throughout last year and temporarily distort our revenue and profitability comparisons for the first quarter on a year-over-year basis. 
 Our Q1 2024 non-GAAP operating income was $45 million or a non-GAAP adjusted operating margin of 16.6% as compared to $54 million or 19.3% in the prior year. Similarly, our non-GAAP adjusted EBITDA was $58 million for Q1 of 2024 or 21.5% of revenue, excluding transaction fees, as compared to $67 million or 24.3% in Q1 of 2023. 
 As was the case with our year-over-year revenue performance, our Q1 2023 non-GAAP operating income, non-GAAP adjusted operating margin and non-GAAP adjusted EBITDA were all positively impacted by the high-margin licensing revenue deal we closed thus distorting the Q1 2024 comparison. Excluding the impact of the $10 million in licensing deals, our non-GAAP adjusted operating income and adjusted EBITDA margin percentages would have been broadly similar to Q1 of 2023. 
 Lastly, our Q1 2024 non-GAAP EPS was $1.01 as compared to $1.04 in the prior Q1. The decrease in non-GAAP EPS is mainly due to lower operating income, partially offset by positive foreign currency movements and share repurchases over the last 12 months. 
 Turning to Slide 12. I'll go through the balance sheet, our cash flow performance and shareholder returns. Our Q1 2024 cash used in operations was $29 million as compared to cash flow from operations of $15 million in Q1 of the prior year. And importantly, cash flow generated from operations before changes in working capital in Q1 of 2024 was $52 million compared to $50 million in Q1 of 2023. Further, we had non-GAAP free cash flow of $34 million in Q1 of 2024 as compared to $7 million of non-GAAP free cash flow generated in Q1 of 2023. 
 The primary drivers of the year-over-year decrease in non-GAAP free cash flow were primarily timing-related working capital movements and include: one, unfavorable changes from the Q1 2023 bonus accrual being significantly higher than the bonus accrual in both Q1 2022 and Q1 2024; and 2, the timing of converting certain trade receivables into cash. As a reminder, historically, our non-GAAP Q1 free cash flow performance tends to be the low point for the year. Further, over the last 5 years, the vast majority of our annual non-GAAP free cash flow has been generated in the second half of the year. 
 Moving on, we ended the first quarter of 2024 for the $121 million of cash and cash equivalents. That, along with our outstanding debt at March 31, 2024, insult in $435 million of net debt. And our net debt leverage ratio stood at 1.9x of adjusted EBITDA. Further, we have approximately $570 million of liquidity as of the end of the quarter. Moving to the bottom right of the slide, we declared $9 million in dividend during Q1 of 2024. In addition, we repurchased $10 million in stock during Q1 under our stock repurchase program. 
 Turning the page, I'll revisit our 2024 guidance target. In summary, we are reiterating all 2024 targets. Further, we are currently forecasting our first half 2024 revenue to make up approximately 48% of our full year revenue, while we expect 52% of our revenue to be generated in the second half. As has been the case for the past 2 years, we currently anticipate our Q2 revenue being the low point of the year from a quarterly phasing perspective. 
 We continue to see strong demand for our solutions, and we intend to capitalize on those opportunities to realize both near-term and longer-term growth with timing being our biggest challenge and not underlying demand. Additionally, we remain focused on generating improved profitability and actively pursuing opportunities to deliver enhanced efficiencies and operating leverage. Wrapping it up, CSG will continue to relentlessly prioritize every investment we make and stay disciplined in the allocation of resources and the use of capital. Innovation, including how we leverage the transformative power of AI across CSG and an adherence to a risk reward framework with continuous learning are key cornerstones of how we manage the business. CSG is well positioned with a strong sales pipeline and a high-quality recurring revenue customer base. We remain in committed to accelerating and diversifying our revenue growth, which may include closing and integrating disciplined, value-adding acquisitions. We believe this approach, combined with our consistent capital distribution will serve our shareholders well. 
 With that, I'll turn it over to the operator to facilitate the question-and-answer session. 
Operator: [Operator Instructions] And your first question comes from the line of Maggie Nolan from William Blair. 
Margaret Nolan: Congratulations, nice quarter. I'm wondering if you can elaborate a little more on the acquisition last month, the offerings the size of the business and then expand on where you are in the process and what you're targeting with respect to the comment, Brian, that you made about likely closing several more deals in 2024? 
Brian Shepherd: Thanks, Maggie, I hope you're doing well. I appreciate you joining. On the acquisition, it is in the customer engagement space. It serves several customers in multiple verticals. Insurance is the largest. This is a company we've worked with for many years. We got to know the technology. We got to know the customer base that they serve. We got to know the talent that they had. And we had an opportunity to just add to our customer engagement business and offering and really build some dedicated expertise in insurance, which is a high target vertical for us. So we love the team. We've launched the product expansion that we got that brings in, and we love the vertical focus. And as we've talked about being a disciplined acquirer, we also love the fact that we purchased this business for a very low multiple of EBITDA relative to what we trade ads. We think that there's a lot of shareholder value. That's more specifically on that acquisition. 
 So the comment we made, as we've talked about on previous calls, we've just seen a couple of years ago, pricing was out of whack with a lot of the sellers. We saw a lot of good deals, but not necessarily the price point that we thought would create shareholder value, and we're seeing that change. And so we do have a very active pipeline on the inorganic move side, and we're going to stay very disciplined. We've had to go back to both looking at small, mid and larger deals. And we would anticipate that there's a reasonable likelihood that we could announce and close more deals in the coming quarters in 2024. 
Margaret Nolan: And then a couple of questions on the other segments. As that continues to grow, which you sounded confident that it would as a percentage of revenue, any variations in margin across the different verticals? And then do you feel like you have the structure in place to continue growing that? Or are there changes that you need to make investments you need to make in the sales force and the go to market, et cetera? 
Hai Tran: Hey Maggie its Hai. Thanks for the question. The margin differences are less about industry verticals, but more dependent on our solutions that we go to market with. So obviously, our more SaaS-like solutions have very high margins [indiscernible] 70%, 80%, like a traditional SaaS model would have services type -- more services heavy solutions would be lower on a relative basis. So with that said, were those customers whereby who're providing some of our CX solution journey orchestration solutions or our payment solution, they're going to tend to have much higher margins than some of our other solutions that are in the market. 
Brian Shepherd: Maybe one add on around the margin expansion potential of these businesses. We do have the scale in both Digital CX and payments to significantly expand organically, drive operating leverage and keep strong double-digit organic growth going. We do have the scale and the infrastructure to be able to handle that as we also add on acquisitions. The area that we are -- we have invested in is taking a more channel-specific approach. As we've talked about on a couple of the last several earnings calls. We do a nice job with our direct sales teams. We do a nice job of cross-sell upselling and land and expand. But we realized that in these multi-industry verticals, there's big partners that have existing offerings, strong sales teams, big marketing budgets. So if we invest more in a channel-driven approach, it can generate and accelerate organic growth in this business. So that's one that we've done over the last several years. That is not a new investment we're going to make. That's something we've already done. We expect that to yield dividends for the business in the coming quarters. 
Operator: Our next question comes from the line of George Notter from Jefferies. 
George Notter: I just have a few, I guess, financial questions. The -- I noticed that the unbilled receivables were up a little bit sequentially. I know that they're elevated relative to where they've been historically. Is there something driving that trend? Can you kind of talk about what that looks like and when that might step down going forward. 
 And then also, we saw another, I guess, a step function up in stock comp expense sequentially. I'm just wondering if $18 million is kind of the right level going forward? Or is that something that will step down in the future? 
Hai Tran: Yes. I think on the -- with regards to the unbilled, one of the things that we talked about is some of the larger wins we've had on the global telco side with some large CSPs. And as we're undergoing the implementation related to the a lot of times, the way the contract works is the unbilled is tied to milestones. So as we reach those milestones, we'll convert an built into kind of invoices and account receivables. So that's just a timing thing. And so we're in the midst of a couple of large deployments right now, and that's what's driving up the midterm trend our expectation as we get to the back half of this year into next year, it will start to moderate. 
Brian Shepherd: And on the question around executive based comp, maybe we'll take that one offline. Our executive based compensation as it relates to equity has always averaged on a dilution basis, around $35 million in terms of where it is. We fully expect to offset that dilution in terms of where it is. So maybe we'll -- you may be seeing something specifically that's different than what, because we haven't seen a big step up in the compensation. We paid out a little higher bonuses last year because we had a record-setting year and outperformed on all of our financial metrics, but there's not a big step change. So maybe we can dig into that in the post call. 
Operator: Our next question comes from the line of Nehal Chokshi from Northland Capital Markets. 
Nehal Chokshi: And probably a couple of questions for me. First, can you give more detail on the headwinds that you're seeing at your North American cable operators? 
Hai Tran: Yes, happy to. Nehal I hope you're doing well. As we talked in some of the comments, obviously, others are seeing what some of the cable broadband are announcing. And we are facing, as we've talked and planned for in the first part of this year, some smallish headwinds. We've seen some tens of thousands of subscribers that have gotten -- that have been lost on the broadband side and on the total customer side in that. And we're feeling some smallish impact of that as anticipated. It's kind of as we thought it would be. And we anticipate, as I think a lot of people might have heard from some of the cable broadband customers that that's likely to continue into Q2 and Q3. On a longer-term basis, we do anticipate having worked with these customers for a long time that there's likely to be a longer-term competitive response.
 We like where they're positioned with their networks. We like where they're positioned with their customer base. We're mission-critical. We're doing a lot to try to help them in some of those areas where they continue to perform well. We also see that both Comcast and Charter are passing 2% to 3% more homes every year. We think that could actually help reverse some of these trends. But we are seeing smallish headwinds as has been reported. 
Nehal Chokshi: And then a different question here. Did the CEF and Payments business in aggregate grow at least double digits for the March quarter? 
Hai Tran: Yes, the combined of those 2 did have a strong double-digit growth business in Q1 that continued from last year. We like what we're seeing in the sales pipeline. We like what we're seeing on the close and win rate. We like the conversion and the adoption as we bring that revenue on board. And we really like what we're seeing in those combined solution units. 
Nehal Chokshi: And just to be clear, is that including or excluding the year ago, $10 million software onetime revenue recognition? 
Hai Tran: So the $10 million nonrecurring software licenses were not in the CX or payments business. So the double-digit organic growth would exclude that. 
Operator: Our next question comes from the line of Matthew Harrigan from Benchmark. 
Matthew Harrigan: I was curious, when you look at the CS business, companies like JPMorgan, financial supermarkets, I mean, there's [indiscernible], I'm sure an expansion of your relationship and you've got logos across quite a number of verticals. Could you say roughly what's the breakout on the growth there between existing customers and [ de novo ? ] customers? And when you look at, obviously, fraud engagement, the top of mind everywhere these days with AI working on both sides. How readily could you take JPMorgan? I mean, obviously, HSBCs pulling a name because they've been a new. How hard is it to port that over to a new financial company? And are there any restraints in terms of kind of applying the same the learnings you have at JPMorgan at another bank because it does seem like there's a big opportunity there. And maybe if you could hone in specifically on how AI is particularly benefiting the fraud business because clearly, that's kind of a 5 versus 5 thing to go back to, I guess, last reference to Mad Magazine probably in Wall Street history on the conference call, there you go. 
Brian Shepherd: Quite a few there. Let me [indiscernible] Matt. I really appreciate it. I love some of the questions and appreciate you joining. So in CX, first, we're having a lot of success once we penetrated accounts on the land expand in all the bids, and that is generating the vast majority of the growth, which is fantastic to see. The nice thing on the sales logo side, we've had good penetration and good success. But what we realized going back to about Q2 of last year was we had a big -- we just don't have all the same brand awareness in all these other verticals. And so by switching to more of a channel partner-led new logo sales hunting, we could average actually leverage the sales force, the marketing relationships and do more.
 So that we're now about 3 quarters into that investment in channel and is starting to bear through. We've got dozens of channel partners in different verticals that have both consulting, systems integration and in some cases, products that they can attach our platform to and pull us into. And we think that's going to contribute extremely nicely to adding and accelerating the new logo growth. But today, it's been more on the expansion side because once we can get in for $200,000 to $500,000 price points with either as an infrastructure platform play or just solving 1, 2 use cases that are a high priority for these different verticals and then we expand to dozens of use cases over time. So the expansion is really exciting. 
 Specifically, on the fraud, you're right, it's in financial services, but not just one of the first AI products we brought to market was an AI fraud detect in our payment space, and that's helping merchants reduce the risk of fraud, identify it sooner and actually find ways to continue to make more money on that side. We see fraud detect in the network side of telecom operators, where we can use AI with some of our network monitoring capabilities to identify when there might be fraud in the wholesale or roaming side of the global telecom market. And then obviously, we see it, just like you said, with the great use case, we have had and expanded our relationship with JPMorgan Chase.
 And financial services is one of our top 4 or 5 verticals. So obviously, we've got quite a few customers. We announced an exciting win with one of the largest banks and financial services companies in Australia where we deployed Ascendon or sold Ascendon last quarter. We think that there's a lot of opportunities across both monetization and in the digital CX space related to fraud and other use cases they have. So we think that will continue. That is a high priority as you rightfully call out. 
Operator: Our next question comes from the line of Dan Bergstrom from RBC Capital Markets. 
Dan Bergstrom: So on the international opportunity, you called out deals in Bangladesh, Brazil, South Africa this quarter in the prepared remarks. Impressive reach and in disparate geographic areas, I guess, what are some keys to driving this wide reach? Is it partners like you've referenced a few times in Q&A here, reference customers, just simply your solutions really resonating with customers no matter what the location. 
Brian Shepherd: Yes. Hi Dan, pleasure to join. Thanks for the question. We have -- first, we serve hundreds of global telecom operators all around the world. We have a global footprint of sales, account management teams that have worked with a large -- a lot of these large operators. So a lot of that is a direct sales model, and we have teams co-located in many cases, all around the world in South Africa, in India, in Southeast Asia, in Europe, in the U.S. And part of that, to be honest, is a trend we've seen and we bet on going back 5 or 6 years ago, where we felt like the cost and complexity that the global telecom operators have always had was not sustainable. We saw the price commoditization on consumer and enterprise. We saw the big investments they had to make in their networks and moving to 5G soon to be 6G and it wasn't sustainable.
 And so what we led with was a product-based approach, often SaaS, where we could actually help them simplify their business process, simplify their tech stack, become more digital, take costs out of their business. And the reality is we had success in the markets outside the U.S. and Western Europe, where they were feeling the most economic pressure. And now what are we seeing happen 5 or 6 years later, we're seeing Western Europe and Nordics have the same economic pressure. We're seeing the Middle East have that pressure. We're seeing that pressure in the North American market as Charter and Comcast take wireless subs from the U.S. players and vice versa on the broadband side. So that competitive dynamic, we think actually plays to our long-term strength of not being a service-based business model but a SaaS and a product, and we expect to continue to win business and drive economic value for those large operators all around the world and in the U.S. and Western Europe. 
Dan Bergstrom: And then you mentioned AI in the Q&A here on the previous question, obviously, a focus for everybody. Could you build out the -- or talk a little bit more about some of the reception or thoughts around the pipeline build for some of those AI-infused products you introduced over the back half of last year? 
Brian Shepherd: Yes. I mean I think everybody is doing a ton in their strategy. So first, as it relates to selling more, building it into our offerings, we have taken -- our digital CX has always been a data-driven solution. Journey analytics, journey orchestration started more with machine learning and using conversational AI in the early days and now building in where it makes sense degenerative AI. We launched at Bill explained that AI solution. We've got dozens of sales candidates. We've actually won and closed several deals. Like a lot of our digital CX though, these are use cases that can deploy $200,000 to $400,000 to $500,000 annual ACV kinds of sales deals. So they're not for big ticket items. You can get in ring the cash register, reduce cost, help drive revenue and offset some of the pressure they're feeling and then you can expand off of that. So we're seeing nice adoption there. 
 In the payment side, I would say it's not quite double digit, but we are seeing good take-up and interest in the AI fraud detect solution and it's also getting bundled into a broader sale of improved AI-driven fraud detect can just improve your merchant experience and reduce the risk to their financial side. And so I think we're seeing a good adoption, but it's less a specific buy decision, more of a core capability that we need to have. 
 In the telecom side, I'd say it's there but still early. Our approach is not to build large language models. We want to leverage the hyperscalers infrastructure around AI, which we've done in many cases. We want to leverage the capability of our platform. And in many cases, we let our customers leverage their own large language models or ones they partner with so that we can actually speed the adoption. So we like what we're seeing in the early days, but I would say we're still in the early days of having a bigger impact on our overall revenue. 
Operator: Our next question comes from the line of Brett Knoblauch from Cantor Fitzgerald. 
Unknown Analyst: This is [indiscernible] on for Brett. I guess just on free cash flow. I know it was talked about a bit in the call, but coming in a little light in the quarter. Can you just elaborate on what gives you the confidence in the full year target? 
Hai Tran: Yes, certainly. So as I mentioned, when we -- what we expect this year, unlike last year, because of the nature of those licenses in Q1, as we expect a year that builds fairly normally, where profitability and revenue kind of grow throughout the year. And as that happens, it will slow down to benefit our cash flow performance. On top of that, what we'll also see is some working capital elements that revert through the year as well. So one of the things that we saw in Q1 was because we had an extraordinarily strong year last year. Brian talked about the fact that we had -- I highlighted in the prepared remarks that we had incentive comp payout that was fairly robust, and that impacts our Q1 more dramatically on a comparative basis.
 And then lastly, as you saw last year, we were able to generate a very strong fourth quarter of roughly $74 million of free cash flow. I think that we've got -- we have a good idea of how to drive some of those improvements in working capital as we learned throughout last year. And so our expectation is that Q1 is a low point here. We'll begin to build it kind of little by little in Q2. Q3 will show greater momentum and Q4 should be comparable to last year. 
Unknown Analyst: Congrats on the solid quarter. 
Operator: Our next question comes from the line of Shlomo Rosenbaum from Stifel. 
Shlomo Rosenbaum: Just to dig a little bit more on the acquisition side. That small acquisition, you noted in CX with insurance. Is it purchasing vertical expertise? Or is there some CX capability that they have that's more foundational. If you could just expand a little bit on that. 
Hai Tran: Yes. Shlomo I hope you do well. Thanks for joining. This one, they have a great team. They have great industry expertise. This one was less about buying a strategic capability that could really move the ball forward that we can do a lot of cross-sell of the platform. This one was an opportunity to bring a great customer base, a group that we have worked with and done a lot with in the past at a great financial price. I wouldn't say that there was no benefit to the value we picked up, but it was on the low side. That wasn't the main driver. I think there's other acquisitions that you might end up seeing us announce this year that would have a much more strategic product solution fit that would expand our product portfolio or extend our platform and drive a lot more cross-sell or upsell, but that one wasn't the main driver and the one we announced that we closed in the quarter. 
Shlomo Rosenbaum: And then just continuing on the acquisition side. The language on Slide 5 seems tweaked a little bit that getting to $1.5 billion by the end of fiscal year '25. Could you just comment on -- you talked a little bit about the M&A environment, the pricing seems to go -- starting to go down. Can you talk about the potential and the willingness to use equity to consummate some of the potentially larger strategic deals. 
Brian Shepherd: Yes. No, it's an interesting question. I'll add mine, Hai if you want to jump in. So by and large, first, as we talk about in our liquidity, we've got a lot of firepower in a super healthy balance sheet. We do not need to use equity in deals. And we wouldn't expect to for small, mid other kinds of opportunities. If there was and obviously, if we felt like our equity is undervalued and obviously, with our share buyback and what we're doing, you can see what we've done in terms of returning. We wouldn't necessarily want to do a deal if we felt like our equity was undervalued because we want to have a good return on that in terms of where it is. 
 If there was a bigger deal, there was an opportunity to do something strategic, where we could really transform structure of industry where there was an opportunity to really maybe change and give us more competitive advantage that could really turbocharge EBITDA, EBITDA expansion strategic scale, would we say never, No, we would never take any option off the table, but that wouldn't be our first -- what we'd be looking at, given kind of where we are today and the kinds of opportunities that are more near-term actionable. But what else would you add to that? 
Hai Tran: No, I think that's right. I think the key message is we're not going to try to utilize our equity if we believe we're underbanked. And that is ultimately what we're going to have to assess kind of almost a game day decision when we look at the opportunity. 
Operator: Our next question comes from the line of Tim Horan from Oppenheimer. 
Timothy Horan: Just following up on that. Could you give us a sense of how much you plan on spending in cash on acquisitions in the next few years to kind of hit that target out there? 
Hai Tran: I think the answer that's unsatisfactory is it just depends, right? It depends on the type of assets that are available and certain assets will yield or require a higher multiple in others. But we do, as Brian said, have quite a bit of liquidity as we sit here today, roughly $570 million in cash and our credit facility. So it just depends. But we are working hard to make sure we're finding opportunities that are truly accretive, right, right out of the gate or shortly right out of the gate as we're able to realize some of the synergies that baked into any sort of valuation case. 
Timothy Horan: Yes. No, I was not looking for specifics, just overall on average. I mean are we looking to spend like $300 million, $400 million to hit that type of target? Or is it $100 million or $200 million on the $1.5 billion. 
Hai Tran: Yes. I mean think about it this way, and we're going to have to acquire roughly $250 million in revenue, right? So depending on the mix, right? If the $250 million of revenue that we acquire has more CX or payments in there, it's going to require a higher multiple, right? If it's going to be more in our traditional revenue monetization, then the valuation multiple will be more akin to kind of where we're trading at, right? So those are some of the considerations. 
Timothy Horan: And then can you give a little bit more color on the dividend segment revenue breakdown for the year? And I guess, just specifically, broadband, obviously, is under some pressure. Do you think you can grow that revenue line item this year? Or what are you kind of assuming in your guidance? And do you think it will worsen here? Because it seems like the cable guys are about to come under a lot more pressure over the next 6 months, 9 months or so. 
Brian Shepherd: Yes. No, I think you said it, Tim. -- end that's why we referred to and use the language. We're feeling some smallish headwinds as it relates to broadband, some of that on the North American cable side. Based on the earnings calls we've listened to on some of our customers last week, I think the general tone is you'd expect that to continue kind of into -- through the next couple of quarters. And I think there will be some impact on that. That's been built into our plan. We had that coming into the year. It's kind of as expected, and we anticipate facing that, which is why we're excited that the other parts of our business are growing even faster to offset some of those headwinds. Next year, I think next year could be a different equation, right, with the homes passed with competitive response. We don't necessarily believe at this stage that it's a foregone conclusion that those headwinds would continue into next year. But for the next quarter or 2, for sure, we're anticipating there'll be some smallish headwinds. 
Timothy Horan: And is there much products you can upsell to improve your ARPU basically to help the cable guys get more efficient. Your ARPU is relatively low. I know you're doing kind of a modest few things for them. But with AI and a whole bunch of the other products that you have, do you see any way to upsell to make them more efficient? 
Brian Shepherd: Yes. I mean, first, I think they're doing a lot in their own rights to continue to be efficient, drive improved CX, and we try to do our part to help them with that. But I think the biggest opportunity, both in North America and cable customers and global telecom is on the digital CX side. And a lot of our early success with our Journey Analytics drug orchestration platform was in those other verticals. And now we've really -- it was the top -- one of the top 2 topics at Mobile and Congress this year and last on the global telecom was all around how do we simplify our business, how do we drive digital CX. It's also true of the North American cable customers. That's why we targeted things around AI-driven sales assist to cross-sell to their customers. That's why we've rolled out Bill explainer.ai, which has a huge implication. We've viewed digital CX use cases around promo roll-off because a big part of churn comes when somebody -- a subscriber rolls off, maybe their intrajectory price period. So I do think there's a lot of opportunities, especially in the digital X, both in North America and globally. 
Operator: Our next question comes from the line of Michael Berg from Wells Fargo. 
Michael Berg: I just have a quick one on the seasonality of the business. Just looking back historically, it looks like the other revenue line item takes a step function up in terms of the mix of total in Q1 and tends to be fairly flat to the rest of the year. Is there any dynamics to point to that's driving that phenomenon? 
Hai Tran: Yes. I think what you're seeing is that there's seasonality on the payments business, right? So if you look at our payments business, by the very nature of the Q4 and Q1 end up being the 2 strongest quarters and then Q2 and Q3 are the weak quarters. And a lot of that is because a chunk of our pain business is serving the government sector. So a lot of tax payments, right? And so those transactions hit in Q4 and Q1. And so that's why you're seeing some of that trend. 
Michael Berg: And then just one quick follow-up. In terms of the guidance and M&A, does the current -- does the reiteration of guidance incorporate the acquisition you did? And does it also potentially include the acquisitions you seem to be likely to do? 
Hai Tran: Yes. So the -- in terms of the guidance, yes, bear in mind, the acquisitions, the actual revenue is quite small here, right? We're talking about single digit in terms of revenue. So the impact is quite nominal, particularly once you provide for timing of the year. 
Brian Shepherd: I think the only other thing I would add to that is we expect to have good organic growth in fiscal year 2024. And so even with that guidance, where we reiterated on the revenue side, and we typically talk a lot about midpoint. And so we talk about at midpoint of our current reiterated guidance, a 4% growth. And as I said, we still believe we can achieve 4% growth organically, and there's some swollish impacts from acquisitions. 
Operator: At this time, I'm showing there are no more questions. I'll now turn the call back over to Brian Shepard for closing remarks. 
Brian Shepherd: Thanks, everyone for joining. We're focused on delivering against our guidance commitments. We're focused on driving a lot of efficiency ongoing. As you saw in our adjusted margin guidance, we expect to strongly be in the 17% range. We expect to grow top line. We expect to do -- deliver better results as we get into Q2, Q3, Q4. It's tough to us to execute that, and that's exactly what this management team is focused on doing. Thank you for joining today's call. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.